Operator: Good day and thank you for standing by. Welcome to AVEO's Third Quarter 2021 financial results and business update. At this time, all participants are in listen-only mode. After the speakers presentation, there will be a question and answer session. . As a reminder, this conference call is being recorded. I would now like to turn the call over to Mr. Erick Lucera, Chief Financial Officer. Please go ahead.
Erick Lucera: Good afternoon and thank you all for joining us on today's call to discuss AVEO's Third Quarter 2021 Financial Results and Business Update. I'm joined today by Michael Bailey, Chief Executive Officer, Mike Ferraresso, Chief Commercial Officer, and Dr. Michael Needle, Chief Medical Officer.  Before we begin today's call, let me remind you that during this discussion, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, the forward-looking statements are subject to important risks and uncertainties, including those that are detailed in today's press release and in the Risk Factors section of our most recent quarterly report on Form 10-K, which is on file with the SEC, that may cause actual results to differ materially from those results expressed in such statements.  Furthermore, we caution you that these forward-looking statements represent our views only as of today and we do not assume any obligation to update these statements, whether as a result of new information, future events, or otherwise, except as may be required by law. With that, I will now turn the call over to our President and Chief Executive Officer, Michael Bailey. Michael.
Michael Bailey: Thank you, Eric and thank you to everyone for joining us on today's call. The third quarter marked our second full quarter as a commercial stage Company. And we are excited to share with you the continued progress we have made since the launch of FOTIVDA or tivozanib, our first commercial product, as well as the progress we've made with the rest of our pipeline and our financial results for the quarter.  We're pleased to report our second full quarter for the FOTIVDA sales which reflect a strong commercial uptake compared to the second quarter of 2021 and since FOTIVDA was launched on March 22nd. To note, we saw a 113% increase in net product revenue and a 119% increase in prescriptions sales in the third quarter as compared to the second quarter.  FOTIVDA commercial performance validates its potential to serve as a standard of care for relapsed refractory RCC patients. As many of you already know, FOTIVDA is an oral once-a-day VEGF R TKI approved in the U.S. for the treatment of adults with relapsed or refractory advance renal cell carcinoma or RCC following 2 or more prior systemic therapies. This approval was based on the Phase 3 TiNivo-3 study.  The first positive RCC Phase 3 study in this highly refractory setting. And the first Phase 3 RCC study to incorporate a pre -defined sub population of patients who had received prior immunotherapy, which reflects the new standard of care in earlier lines of treatment.  It is important to note that prior to FOTIVDA, therapies used in these settings, we're often chosen based on extrapolation of clinical data from treatment and earlier lines settings, as well as from clinical data that did not include a pre -defined sub population of patients who received prior immunotherapy.  Furthermore, due to lack of data in this refractory setting coupled with tolerability concerns as other available treatment options, we know that a large percentage of patients historically opted out of continuing onto later line therapy. Turning to our pipeline. In the third quarter, we achieved an important milestone with the start of enrollment of our pivotal Phase III TiNivo -2 trial of FOTIVDA and OPDIVO in patients who've previously received IO therapy.  We will now be able to assess FOTIVDA's potential in a registration directed study in earlier lines of therapy and in the immunotherapy combination setting. For ficlatuzumab, we made great progress over the quarter, with fast-track designation granted by the U.S. FDA for our potential registration study, which we expect to start in the first half of 2023.  We believe these recent developments further support the belief that ficlatuzumab has the opportunity to address a serious unmet need and serve as an important treatment option for patients with HPV negative, head and neck cancer, a patient population who's prognosis is very challenging. I would like to turn the call over to Mike Ferraresso now to walk us through a more detailed commercial update, including third quarter metrics. Mike.
Mike Ferraresso: Thank you, Michael. As Michael mentioned, we are very encouraged with the launch to-date and I'm excited to share with you results from our second full quarter of sales. For the third quarter of 2021, U.S. net product revenue was $14.3 million, which reflects a 113% increase from last quarter. Since launching FOTIVDA in late March, year-to-date, U.S. net product revenue is $22.1 million.  Of note Q3 sales were representative of true end-user demand. We estimate that as of the end of the third quarter, there was approximately 2 weeks of inventory available on the channel, underscoring that our net revenue total was achieved with a lean inventory level. Finally, during the third quarter, we recorded a total of 619 commercial prescriptions, reflecting a 119% increase compared to the second quarter.  Since launch, approximately 260 accounts have ordered as of September 30th, at 90% increase compared to a 137 accounts having ordered as of June 30th. As we expand our prescriber base, we're seeing decreased need for launch patient experience samples, and we're scaling back the program as planned with 75 patient kits distributed in Q3 compared to 180 in the second quarter.  Let me take a minute to discuss the commercial team that is helping drive these results. Our team is comprised of individuals who are deeply experienced in oncology with a proven track record in reaching and impacting customers both in-person and when required remotely. With the increase of the Delta variant in the third quarter, COVID restrictions have, of course, posed a continuing challenge for gaining in-person access to treating oncologists.  That said, our teams are executing well and we're seeing steady progress toward reaching all of our key customers in person or using technology to engage them remotely. As I mentioned, we have received orders from over 260 unique accounts to-date, which just scratches the surface of our 3,000+ targeted accounts.  In addition to the field sales team, we have supplemented their efforts with extensive marketing outreach, spending a wide variety of formats in order to increase awareness in areas facing access restrictions. We continue to invest in new opportunities to enhance our awareness from traditional print advertising to social media and other digital formats.  As reported by IQVIA, we continue to have a leading share of voice in the relapse refractory RCC setting, and this is great evidence of the effectiveness of our efforts. FOTIVDA is broadly available through a limited network of specialty pharmacies and specialty distributors.  By limiting our distribution network, we believe we are able to improve the customer experience for those receiving FOTIVDA at home through our specialty pharmacy partners, as well as for those who receive FOTIVDA directly from their treatment facility. We have designed our network to allow oncology practices who dispensed directly to their patients to do so, not only for the first month of treatment, but for the duration of treatment.  We believe our model is unique within the RCC space. Our comprehensive support services provided through the AVEO Access Center of Excellence, also known as ACE Patient Support Hub, helps to support prompt access to FOTIVDA for on-label patients. We continue to be very successful in securing coverage with minimal payer issues.  We are pleased with the significant progress that our commercial team has made some  and the encouraging reception FOTIVDA has received from oncologists and patients, as well as the broader medical community. We look forward to updating you on our continued progress over the coming quarters. With that, I would now like to turn the call over to Dr. Mike Needle to review the clinical opportunities within our pipeline.
Michael Needle: Thank you, Mike. Beyond the launch of FOTIVDA, we are pleased with the progress we have made this past quarter in the clinic. Starting with our tivozanib immunotherapy combination programs. In the third quarter, enrollment open for the pivotal Phase III TiNivo-2 trial of TIVO in combination with nivolumab or OPDIVO, Bristol Myers Squibb's anti-PD-1 therapy in patients with advanced relapsed refractory RCC following prior immunotherapy.  The pivotal trial is being conducted under our clinical trial in collaboration agreement with Bristol Myers Squibb. Bristol Myers Squibb will be providing nivolumab clinical drug supply for the study, and we will serve as a study sponsor and we'll be responsible for cost-associated with trial execution.  The pivotal trial is following up on the positive results previously reported from the Phase 1-2 to Nivo trial, where the combination of tivozanib and nivolumab demonstrated a high objective response rate and disease control rate, long progression-free survival, and a favorable tolerability profile in treatment-naive and previously treated patients with advanced RCC.  With the introduction of immunotherapy combinations as the new standard of care for first-line RCC, there is an increased need to establish optimal sequencing and treatment options in the second-line setting following prior immunotherapy. We believe that the combination of tivozanib and nivolumab could serve as a meaningful therapeutic option in this growing patient population and we look forward to updating you on the progress of this trial.  Moving onto ficlatuzumab, our HGF c-Met IgG1 antibody, in September the U.S. Food and Drug Administration, or FDA, granted ficlatuzumab fast-track designation for the treatment of patients with relapsed or refractory recurring head and neck squamous cell carcinoma.  We are pleased to receive fast-track designation from the FDA as their decision further underscores the potential for ficlatuzumab to address a serious unmet need and serve as a meaningful therapeutic option for patients with HPV negative relapsed or recurrent, head and neck squamous cell carcinoma.  In regard to timing for the start of the ficlatuzumab registrational trial in human papilloma virus, HPV, negative head and neck squamous cell carcinoma, we expect to commence manufacturing of ficlatuzumab clinical supply in the second quarter of 2022, subject to availability of key raw materials and manufacturing also used in the COVID-19 vaccine manufacturing.  With the initiation of the registrational trial now anticipated in the first half of 2023. With the receipt of fast-track designation, we believe ficlatuzumab has potential to advance as an important new treatment option for patients with head and neck squamous cell carcinoma.  We're continuing our discussions with the FDA to identify the optimal registration trial design for the program, as well as speaking with potential partners as we look forward to providing further updates on our progress. I will now turn the call over to Erick to discuss third quarter 2021 financial results. Erick.
Erick Lucera: Thank you Mike. Total revenue for the third quarter of 2021 was $15.2 million and U.S. net product revenue for the third quarter of 2021 was $14.3 million. Selling general and administrative expense for the third quarter of 2021 was $15.1 million, a level consistent with the prior two quarters and is compared with $5.8 million in Q3 of 2020.  We continue to expect that our total G&A spend for the year will be approximately $20 million and that our total commercial spend for the year will be approximately $40 million for a total spend of $60 million. We continue to you expect gross margins to be in the mid-to-high 80th percentile. Research and development expense for the third quarter of 2021 was $7.5 million, compared with $5.9 million in the third quarter of 2020.  We continue to expect R&D expense to be approximately $30 million for the year. We ended the third quarter of 2021 with cash-cash equivalents and marketable securities of $94 million compared with a $102.9 million at the end of the second quarter. As we expect our spending levels to remain relatively constant for the fourth quarter. We also anticipate net cash burn to continue to decline as we expect revenues to increase.  We believe that our existing cash-cash equivalents and marketable securities as of September 30th, 2021, along with expected net product revenues from the commercial launches of FOTIVDA in the U.S., will enable us to maintain our current operations for a period of at least 12 months following the filing of our quarterly report on Form 10-Q for the third quarter. For our review of the results for the third quarter of 2021 is available in our quarterly report on Form 10-Q and I will now turn the call back over to Michael Bailey. Michael?
Michael Bailey: Thank you, Eric. To close, we believe we are well-positioned for continued success with the commercial launch of FOTIVDA here in the U.S. as well as the continued advancement of the balance of our pipeline programs. We look forward to providing updates on our progress in the coming quarters as we continue on our mission of improving the lives of patients with cancer. We will now open the line to Q&A. Operator?
Operator: Thank you, sir.  We'll pause for just a moment to compile the Q&A roster.  Your first question comes from the line of Stephen Willey with Stifel. Please go ahead.
Stephen Willey: Good afternoon. Thanks for taking the questions. Maybe you can speak a little bit to some of the patients that you're seeing being prescribed the drug, in terms of just most recently failed therapy. If there's any kind of patterns that appear to be emerging with respect to the specific type of patient whose being prescribed TIVO.  And was also wondering if you've seen any evidence of patients receiving TIVO as a second -line therapy, just given the fact the label does presumptively allow for second-line use in the context of frontline combination regimen.
Michael Bailey: Thanks for the questions, Steve. I am going to pass this over to Mike Ferraresso.
Mike Ferraresso: Great. Thanks, Steve. So, we don't always have visibility into the patient types, so it's going to take some more time for our datasets to get more robust, to have greater granularity. But the data we do get, we're certainly seeing a mix of patients. So we are getting a mix from as you described, coming off the frontline combination, those who are a typical third line patient.  We're also seeing later line patients who would have likely opted out of treatment or gone onto hospice. So, we're seeing a broad mix and again, we don't have full visibility yet, but we will continue to build a more robust dataset going forward and be able to provide more granularities in future.
Stephen Willey: And did you say previously that your target number of accounts was 3,000?
Mike Ferraresso: Correct. We have over 3,000 target accounts. We've penetrated to this point about 260. So we see a tremendous amount of opportunity to continue to expand our prescriber base and grow our business.
Stephen Willey: Okay. And I guess, how do you think about the kinetics of closing that gap between the number targeted in -- the target number? And is this something that you think you can achieve over the course of the next 1 to 3 quarters?
Michael Bailey: Go ahead, Mike.
Mike Ferraresso: It's a great question, Steve (ph). I think the biggest challenging question for anyone launching a drug right now is COVID and the way it's impacting our access, and we're very pleased that we grew our prescriber account base by 90% quarter-over-quarter. We continue to make penetration to new accounts and expand our reach.  It certainly is more challenging with COVID and we think ultimately, it certainly will take us longer to reach everyone and reach our full penetration than if we were in a non - COVID era. But again, the team's executing well and we're really pleased with the quarter-on-quarter progress that we've made.
Stephen Willey: Very good. And then just lastly, do you have any data points on just the proportion of ordering accounts that are -- that have reordered I guess, specifically those in between -- specifically those who had ordered as of the end of 2Q and whether or not and you saw a high reorder rate amongst those accounts in the third quarter?
Michael Bailey: Mike.
Mike Ferraresso: Yes. So I don't have specific metrics on that, but we certainly are really pleased with the growth we're seeing both in new prescriptions and refills and I think as we look at the TIVO 3 study, we had 18% of patients progression-free at 2 years. We think it's going to take quite a while for us to truly know what our real-world long-term refill rate and duration treatment is going to be, but we're pleased with what we're seeing so far.
Stephen Willey: All right, thanks taking my questions.
Mike Ferraresso: Thanks Steve.
Operator: Thank you. Your next question comes from the line of Colleen Kusy with the Baird. Please go ahead.
Colleen Kusy: Great. Thanks so much for taking the questions and congrats on the quarter. Piggybacking off of Steve’s last question, do you have any insight into the refill rate in terms of how -- what patients are getting how many refills?
Michael Bailey: Mike, you want to talk about that?
Mike Ferraresso: Sure Colleen. Yeah, it is challenging. So as I was sharing, we don't have that visibility into all of our business. We get it in a small subset. So as our data gets more robust over time, we get better and better accuracy and get a comfort level where we have updates we can provide in the future. So we're pleased so far, we're certainly seeing good mix of refills and new patient starts.  Again, we're really pleased with the new account growth and we'll continue to track these things. As I said, it's probably going to take quite a while until we can really say what our real-world duration of treatment is just because there was such a significant tail of patients on the drug in a very long time in our clinical trial setting, then we have to see how that translates into the real-world setting. Again, we'll keep tracking and when we get robust enough data we'll be happy to share that in the future.
Colleen Kusy: Make sense. Thanks. And what's the sampling program, would you expect that to go -- to increase again, and you're continuing to expand into the remaining 2,000 - ish accounts, or how to think about what you're going to get with the sampling program is going to be?
Michael Bailey: Thanks, Colleen. Mike, can you take that one, too?
Mike Ferraresso: Sure. So yes, our sampling program, we've always planned it to be a launched sampling program or patient experience program. So, we've already seen a significant drop from a 180 samples distributed in the second quarter to 75 in third quarter. We don't have any plans to shut it down at this point because as we've discussed, there are still a lot of accounts to access and it’s still -- can be a powerful tool.  But I will say you wouldn't expect all 3,000 accounts to take a sample. There are many treatment settings that are not allowed to take a sample. Those that do any dispensing themselves and other institutions don't.  They prohibit it. So it's not a program that's for everyone. So I think we'll continue to see it decreasing over time, but we're not shutting it down just yet because we think there's still other accounts who would benefit from the sample that we've yet -- been able to access and reach.
Colleen Kusy: Okay, thanks. That's helpful. And on the TIVO-2 studies, maybe if you can talk about expectations for enrollment there? How many centers you're targeting? And if you think COVID will impact getting those up online?
Michael Bailey: Yes. Thanks, Colleen. Hey, Dr. Mike, do you want to answer that?
Michael Needle: Sorry, it was just hard for me to hear. Could you please repeat the question?
Colleen Kusy: Yeah, sorry. On the TiNivo-2 study, if you could just talk about what your expectations are for enrollment there, how many centers, and what you'd expect the COVID impact will be on  centers online.
Michael Needle: Sure. Well, we are targeting for close to 200 centers. It's hard to -- the COVID bid is such a moving target, you think it's getting better and then there's a setback and it's obviously different in different parts of the world at different times. So it is -- it's very difficult for us to predict. I mean, I'm not sure what else I can say.
Michael Bailey: I'll add one thing, Mike. I mean, as Mike said that it's about 200 sites that's not too dissimilar from TIVO-3. It's early in the opening in the enrollment process where we're keeping a close eye on it.  But just as a benchmark, TIVO-3 enrolled at about 15 to 18 months is about a similar number of patients, but recognize also as Mike pointed out, that was not there in COVID. So that's why we wanted just -- let's see how things go as mostly how things go with COVID and how that ultimately impacts the initial uptake on enrollment. We'll keep you posted.
Colleen Kusy: Great. That makes sense. Thanks for taking my questions.
Michael Bailey: Great. Thanks, Colleen.
Operator: Thank you. Your next question comes from the line of RK Ramakanth with H.C. Wainwright. Please go ahead.
Rk Ramakanth: Thank you. Good afternoon. Michael, Mike and Erick. I had just a couple of quick questions. You said you're trying to target 3,000 accounts and right now you've got orders from 260 accounts. So how many accounts have you interacted with out of which the 260 have been successful?
Michael Bailey: Great question, RK. Mike, do you want to talk a little bit about reach?
Mike Ferraresso: Yes. Thanks for the question, RK. So we haven't put that metric out, but I'll give you a sense of what the world is like out there in general right now as reported by IQVIA and others. There's probably somewhere between 25% and 30%, maybe 35%, of oncology accounts that are open to engage with industry right now that are allowing sales reps to get in there. So, I think that's maybe a helpful insight.  Certainly there's other ways we try to engage, but the in-person interactions are certainly the most impactful and usually it takes a few visits, a few meetings with the customer to walk them through the drug and how you get access to it, given comfort with reimbursement and all the things they need to know to start a new therapy. So it's going to take us a while because your accesses are restricted and how often you can get into other frequency also gets restricted.  So we're continuing to make great progress again, we're really pleased to grow our account base 90% quarter-on-quarter. Despite the access challenges that we have, and it's difficult to predict where COVID is going, but we're hopeful that the Delta variant seems to be settling down in that access trends may start to once again improve and open up and make it easier for us to expand our reach.
Rk Ramakanth: Thank you. Thank you very much. So you said you had about 619 scripts in the third quarter, so obviously the third quarter did quite well. Very well actually. So how should -- any comment at all that you can give us regarding what you have been seeing in the last 35 days since this quarter started, especially on the back of the comments that COVID seems to be regressing a bit?
Michael Bailey: RK, good question. We are going to be providing going forward as the launch matures is really just kind of sticking to a quarterly update. So we had provided with the first quarter that extra month, but we've shifted to quarterly updates and we'll be looking forward to give the note to you have future calls.
Rk Ramakanth: Perfect. Thank you gentlemen. Thanks for taking my questions.
Michael Bailey: Thanks, RK.
Operator: Thank you. And that concludes our question-and-answer session for today. I will now turn the call up it back to Mr. Michael Bailey for closing remarks.
Michael Bailey: Well, thank you all for joining us today. We appreciate your continued support and look forward to updating you on further progress in the coming quarters.
Operator: And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.